Operator: Good morning, and welcome to the Hyatt Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Adam Rohman, Senior Vice President of Investor Relations and Global FP&A. Thank you. Please go ahead.
Adam Rohman: Thank you, and welcome to Hyatt's Second Quarter 2025 Earnings Conference Call. Joining me on today's call are Mark Hoplamazian, Hyatt's President and Chief Executive Officer; and Joan Bottarini, Hyatt's Chief Financial Officer. Before we start, I would like to remind everyone that our comments today will include forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K, quarterly reports on Form 10-Q and other SEC filings. These risks could cause our actual results to be materially different from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued today, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. In addition, you can find a reconciliation of non-GAAP financial measures referred to in today's remarks under the Financials section of our Investor Relations website and in this morning's earnings release. An archive of this call will be available on our website for 90 days. Additionally, we posted an investor presentation containing supplemental information on our Investor Relations website this morning. Please note that unless otherwise stated, references to occupancy, average daily rate and RevPAR reflect comparable system- wide hotels on a constant currency basis. Percentage changes disclosed during the call are on a year-over-year basis, unless otherwise noted. With that, I will now turn the call over to Mark.
Mark Samuel Hoplamazian: Thanks, Adam. Good morning, everyone, and thank you for joining us today. I would like to start our call by saying how proud I am of our team's accomplishments over the last quarter. I'm thrilled that we closed on the acquisition of Playa Hotels & Resorts and entered into an agreement to sell the entire Playa Real Estate portfolio. I would like to extend a warm welcome to the Playa colleagues who joined the Hyatt family. We are very excited for what lies ahead and the expertise they bring to Hyatt. Our operating results this quarter are a testament to the power of our brand-focused strategy, the strength of our network and the dedication of Hyatt colleagues across the globe. For the 12th consecutive year, Hyatt was nominated to Fortune's 100 Best Companies to Work for, underscoring how we've been able to maintain our culture of care even as we have significantly grown and transformed our business. I want to thank all of the Hyatt colleagues across the globe for their continued care for our guests, customers and each other. Before I cover results, I'd like to provide an update on our transaction activity, starting with the acquisition of Playa Hotels & Resorts, which was completed on June 17. This transaction included the acquisition of 15 all-inclusive resorts, including 8 existing Hyatt franchise resorts under our Hyatt Ziva and Hyatt Zilara brands. On June 30, we announced that we entered into an agreement with Tortuga Resorts to sell the entirety of the real estate acquired as part of the Playa transaction for $2 billion with the ability to receive an additional $143 million if certain conditions are met. We are pleased to be entering into this agreement with an ownership group that has deep knowledge and experience in the luxury all-inclusive space. Concurrent with the sale, which we believe could close by the middle of the fourth quarter, we will enter into 50-year management agreements for 13 of the 15 resorts. In 2026, we expect to earn an additional $60 million to $65 million of management fees, net of franchise fees that we previously would have earned from Playa. We also expect to generate earnings through our distribution platform. Upon stabilization in 2027, we expect the implied multiple on the net purchase price for the asset-light business to be 8.5x to 9.5x, a very strong outcome, consistent with our stabilized valuations on asset-light acquisitions since 2017. We are extremely pleased with the terms of the transaction and the speed at which we were able to execute. We expect the transaction to be accretive to shareholders in the first full year. This transaction demonstrates our commitment to our asset-light business model while continuing to strengthen our brand portfolio and leadership in the luxury all-inclusive segment. We also continue to make progress to sell several of our owned hotel properties. The 3 hotels that were under a formal marketing process last quarter are now subject to an exclusivity agreement, and we expect to sign a letter of intent soon. We also have one property that is under a signed PSA and 2 that are under a letter of intent. We remain under contract for the sales of Hyatt Grand Central New York and Andaz London Liverpool Street, but we do not expect either of those transactions to close this year. We will share additional updates as these transactions progress, and we continue to expect our asset-light earnings mix to exceed 90% by 2027. Now turning to operating results. This morning, we reported system-wide RevPAR growth of 1.6% for the quarter or 2.2% when adjusting for the shift of Easter from the first quarter in 2024 to the second quarter in '25. RevPAR growth was strongest among our luxury brands as high-end consumers continue to prioritize travel. Leisure transient RevPAR was up 2.6% to last year, reflecting the shift of Easter and increased approximately 6% for our luxury brands. All-inclusive net package RevPAR increased 6% compared to the second quarter of 2024 in the Americas, highlighting the continued strength of luxury all-inclusive travel. Business transient RevPAR was flat in the quarter with the United States declining by 1.5%, driven by select service hotels. Business transient RevPAR was up in the low single digits for our full-service U.S. hotels as well as hotels in Europe and Asia Pacific, excluding Greater China. Group RevPAR in the quarter was up 0.3% to last year and increased 1.1% when accounting for the timing of Easter. Group Pace for full-service managed properties in the United States is approximately flat compared to 2024 for the last half of the year. The third quarter, which is lapping 6% year-over-year growth in 2024, has a challenging year-over-year calendar comparison due to special events like the Democratic National Convention in Chicago and the timing of Rosh Hashanah, which falls in September of this year compared to October of last year. Pace for the fourth quarter is up approximately 3%, and we should see easier comparisons due to the timing of Rosh Hashanah as well as lapping last year's elections in the United States. As we look further out, Pace in 2026 is up in the high single digits, and we are seeing positive momentum in bookings for 2026 and beyond. Although booking trends in the second quarter were softer compared to the first quarter, we're seeing an uptick in future bookings for both leisure and business transient travel. Our group and corporate customers have shared that travel continues to be a priority, especially for customer-facing meetings, and we expect U.S. RevPAR growth to improve after Labor Day. We continue to see exceptional engagement from our World of Hyatt loyalty members, a key driver and differentiator of our commercial performance. Since 2017 through the end of 2024, we have grown loyalty membership by approximately 27% per year, significantly outpacing the growth of our largest competitors. We ended the second quarter of 2025 with over 58 million members, an increase of 21% compared to the second quarter of 2024. and spend on our co-brand credit card continues to be strong. This sustained growth underscores both the benefits of our loyalty program to high-end travelers and the desirability of our network. As we expand our brand footprint in new and established markets, we are delivering more opportunities for our members to engage with Hyatt. The World of Hyatt program remains a powerful growth engine, deepening guest relationships, reducing customer acquisition costs and reinforcing our value proposition to owners and developers. Turning to growth. We achieved net rooms growth of 11.8% during the quarter, including approximately 2,600 rooms that joined the Hyatt system as part of the Playa acquisition. The additional rooms from Playa add approximately 70 basis points to our full year 2025 outlook, which we have raised to 6.7% to 7.7%, inclusive of the Playa rooms. During the second quarter, we delivered net rooms growth, excluding acquisitions of 6.5% and had several notable openings, reflecting the strength of our brands across key segments and geographies. In Europe, we expanded our resort offerings with the opening of resorts on Greece's Aegean Coast and in Bulgaria. We also added to our Essentials portfolio, opening new UrCove Hotels in China and new select service properties in Canada. We continue to be very busy on the development front and ended the quarter with a pipeline of approximately 140,000 rooms, an 8% increase over last year. Signings increased by over 30% compared to the second quarter of 2024 and included several exciting projects such as 2 Zoëtry Resorts, 10 UrCove Hotels in Greater China and 2 Grand Hyatt Hotels in India to highlight a few. We are encouraged by the level of development interest in our brands, which we expect to translate to greater expansion of our pipeline, especially within our Essentials brand portfolio and continued organic growth over time. We expect to accelerate the growth of our Essentials portfolio with the introduction of our newest brand, Unscripted by Hyatt. This brand fills a key white space in Hyatt's portfolio, allowing us to grow in more markets and at an accelerated Pace. The brand is designed to unlock growth through conversion-friendly opportunities, and this approach gives owners a flexible path to benefit from our global distribution and the World of Hyatt loyalty program. We're seeing great interest from the development community, and we expect unscripted by Hyatt to scale rapidly through conversions and complement the recent brand additions in our Essentials portfolio, Hyatt Select and Hyatt Studios. As we look to the future, we remain confident in our strategy and our ability to deliver value across economic cycles. We believe our brand-led and agile approach enables us to respond to shifting market dynamics on a real-time basis while continuing to care for our stakeholders and create meaningful differentiation in a competitive landscape. We built a high-end portfolio of brands through deliberate and disciplined expansion in the luxury, lifestyle and all-inclusive spaces. Our luxury chain scale rooms mix has increased by 1,000 basis points since 2017, while our largest competitors have seen their luxury mix stay flat or decline. Our growth has been intentional. We have cultivated deep commercial and operational expertise while attracting and growing a high-end customer base. This has yielded meaningful differentiation for Hyatt with more than 70% of our portfolio in the luxury and upper upscale chain scales, a position that we believe is difficult to replicate and provides a competitive advantage. This sets us apart from our peers and positions Hyatt among the most recognized and respected names in global hospitality. This strategy has attracted a valuable customer base with greater disposable income who seek out quality experiences, engage deeply with our brands and demonstrate strong loyalty. The strength of that engagement is reflected through the compounding growth in our World of Hyatt program, increased co-brand credit card spend and high fees per room. Having built this foundation and transformed to an asset-light business model, we are now at an inflection point, poised to scale with efficiency and speed. As we further expand into the upscale and upper mid-scale segments, brands like Hyatt Select, Hyatt Studios and Unscripted by Hyatt will allow us to grow with intention in markets where we have significant white space. In the U.S. alone, we are absent for more than 50% of STR tracks. And in tracks where we have a presence, our hotel count is approximately 20% the size of our largest competitors. This white space gives us robust growth opportunities, allowing us to provide existing members with more ways to stay with us while introducing new guests to Hyatt. I'm incredibly excited about Hyatt's future. We have an unmatched global portfolio of premium, luxury, lifestyle and resort brands that has driven significant loyalty membership. Our significant white space for growth is expected to increase our fee-based earnings, further improving our capital-efficient asset- light model. We believe we are positioned to generate durable, growing free cash flow and deliver significant shareholder value. I would like to close by again expressing my gratitude to all Hyatt colleagues who live our purpose every day by caring for each of our stakeholders, especially through changing market dynamics. Joan will now provide more details on our operating results. Joan, over to you.
Joan Bottarini: Thanks, Mark, and good morning, everyone. RevPAR growth in the second quarter grew 1.6% compared to last year, in line with our expectations shared during our first quarter earnings call. As Mark mentioned, and similar to the trends seen in the first quarter, the Hyatt end chain scales outperformed with our luxury brands up over 5% in the second quarter. In the United States, RevPAR was flat to last year, driven by the lower chain scales and the shift of Easter from the first quarter last year to the second quarter this year. The luxury chain scale performed well, up over 4% in the quarter from strength in group business. Upper upscale hotels were negatively impacted by the timing of Easter, which led to lower group contribution in the quarter, while upscale hotels were 1% below last year due to softer business transient demand. RevPAR outside the United States performed well, and we saw continued strength in Europe and Asia Pacific, excluding Greater China. International inbound travel continues to be an important driver of results for these regions. Greater China grew RevPAR for the second consecutive quarter due to increases in leisure transient RevPAR. Demand for leisure travel remains very healthy within our all-inclusive portfolio. Net package RevPAR growth at our all-inclusive properties in the Americas and in Europe was exceptionally strong during the second quarter. Pace is up almost 5% in the Americas for the third quarter, and we're excited about the sustained demand for luxury all-inclusive travel for the remainder of the year. We reported gross fees in the quarter of $301 million, up 9.5%. Our strong fee growth was driven by international RevPAR performance, new hotel openings and growth in non- RevPAR fees. The second quarter demonstrates our ability to generate sustained fee growth in a lower RevPAR growth environment, highlighting the strength of our premium brands and industry-leading net rooms growth. Owned and leased segment adjusted EBITDA increased by 1% when adjusted for the net impact of asset sales and the Playa Hotel acquisition. Distribution segment adjusted EBITDA was flat to last year as higher pricing, effective cost management and favorable foreign currency exchange offset lower booking volumes in the 4-star and below segments served by ALG Vacations. In total, adjusted EBITDA was $303 million in the second quarter, an increase of approximately 9% after adjusting for assets sold in 2024. In the quarter, we recognized approximately $14 million of adjusted EBITDA related to the Playa acquisition for our period of ownership in the second quarter. During the quarter, we financed the Playa acquisition through a combination of cash on hand and drawing on the term loan we entered into early in the second quarter. Upon close of the real estate sale of the Playa assets, we'll use the net proceeds to repay the term loan as per the terms of the agreement. As of June 30, 2025, we had total liquidity of approximately $2.4 billion, including approximately $1.5 billion in capacity on our revolving credit facility and approximately $900 million of cash, cash equivalents and short-term investments. In the second quarter, we paid a quarterly dividend of $0.15 per share and have approximately $822 million remaining under our share repurchase authorization. We remain committed to our investment-grade profile and our balance sheet is strong. Before I cover our full year outlook for 2025, I'd like to note that we have provided additional schedules within the earnings release and the investor deck, which include our expectations for Playa in the third and fourth quarter of this year. In these schedules and for simplicity, Playa's results post acquisition are included for the entirety of the balance of the year with the assumption that the Playa Real Estate sale transaction does not close before the end of the year. However, based on current expectations, we anticipate the Playa real estate sale transaction could close by the middle of the fourth quarter of this year, pending antitrust approval in Mexico. I'd like to note that approximately 60% of fourth quarter adjusted EBITDA for Playa's real estate is forecasted to be earned in December. I'll now cover our full year outlook for 2025, which does not include the impact of the Playa acquisition or planned real estate transaction. The full details of our outlook can be found on Page 3 of our earnings release. We continue to monitor the dynamic macroeconomic environment and as the second quarter progressed, consumer confidence improved. However, lower chain scales underperformed our full-service chain scales, especially in the U.S. We expect lower chain scales in the U.S. to underperform luxury and international markets in the third quarter, which is in line with the expectations that we shared during our first quarter call. Our full year 2025 RevPAR range of 1% to 3% implies RevPAR growth for the balance of the year of between flat to up 2% and we expect the third quarter to be towards the lower end of our balance of the year range and the fourth quarter at or above the high end of our balance of the year range. For the United States, we expect RevPAR for the balance of the year to be around flat compared to last year. We expect third quarter RevPAR growth to be flat to down slightly, and we expect to return to positive RevPAR growth in the fourth quarter, led by group and business transient as we lap the presidential elections last year. For Greater China, visibility remains limited. But as we lap easier comparisons to last year, we believe RevPAR could be up in the low single digits for the balance of the year. We anticipate our properties in Asia Pacific, excluding Greater China, will have the strongest growth in RevPAR of any geographic regions as they continue to benefit from significant international inbound travel. In Europe, we expect RevPAR growth to be flat for the balance of the year with RevPAR growth contracting in the third quarter as we lap difficult comparisons, including the Olympics in Paris last summer. We expect RevPAR growth to be positive in the fourth quarter. We are maintaining our net rooms growth outlook range of 6% to 7%, which does not include rooms added from the Playa acquisition. Gross fees are expected to be in the range of $1.195 billion to $1.215 billion, a 10% increase at the midpoint of our range compared to last year. Adjusted EBITDA is expected to be in the range of $1.085 billion to $1.13 billion, a 9% increase at the midpoint of our range compared to last year when adjusting for the impact of asset sales. As a reminder, owned assets sold in 2024 accounted for $80 million worth of owned and leased segment adjusted EBITDA last year. Our full year adjusted EBITDA outlook implies balance of year growth of 6% at the midpoint of our range. We expect most of our year-over-year growth of adjusted EBITDA, excluding the impact of asset sales for the balance of the year to occur in the fourth quarter as we lap easier comparisons, especially in the U.S., which has a more favorable calendar as well as higher onetime G&A costs last year that will not repeat this year. In the third quarter, we expect weaker demand among lower chain scales impacting select service RevPAR in the United States as well as earnings in the distribution segment. As a reminder, our owned Park Hyatt properties in Paris and Chicago benefited from the Olympics and Democratic National Convention, respectively, in 2024. Adjusted free cash flow is expected to be in the range of $450 million to $500 million, which excludes $117 million of deferred cash taxes paid in 2025 related to asset sales that took place in 2024. We are reinstating our full year outlook for capital returns to shareholders and expect to return approximately $300 million in 2025, inclusive of share repurchases and dividends. Our capital allocation priorities remain unchanged. We are committed to our investment- grade profile, identifying opportunities to invest in growth that creates shareholder value and returning excess cash to shareholders in the form of dividends and share repurchases. In closing, we are proud of our second quarter results and the strong execution around the Playa acquisition that will deliver asset-light earnings at a very attractive multiple once the sale of the real estate is completed later this year. We believe our commercial and growth strategy, the quality of our brand portfolio and operational agility position us well to navigate this dynamic environment, and we remain committed to delivering against our long-term financial and strategic objectives. This concludes our prepared remarks, and we're now happy to answer your questions.
Operator: [Operator Instructions] We'll take our first question from Conor Cunningham at Melius Research.
Conor T. Cunningham: You've been very busy over the past couple of months. So again, I appreciate the detail in the slide deck too and the outcomes for the low and the high end as well. Just on the improvement that you expect through the remainder of the year, I'm just trying to understand it a little bit better. It seems like you expect some weakness in the third quarter. Is that mostly isolated to July and then things get better? I'm just -- it just -- there's a lot of comp headwinds and whatnot. It seems like the biggest swing factor is on the BT side. So just any thoughts on the moving parts as we move throughout the year? What gives you confidence that things get better towards the year-end?
Joan Bottarini: Sure, Conor. I'll just summarize some of what I said in my prepared remarks. As we look at the second half of the year and relative to the EBITDA guidance that we provided for the full year, the second half would suggest a -- would reflect a 6% growth in EBITDA for the second half. And I mentioned that we expect the majority of that to be earned in the fourth quarter because, as you said, in the third quarter, as you mentioned, there are some, in particular, tougher comps, several onetime events, including the Olympics and the Democratic National Convention. Those onetime events will -- as they were realized in the second -- excuse me, the third quarter of last year, that is one of the headwinds that we will have in the third quarter. We also have a slower group Pace growth in the third quarter that we're seeing right now. So it is slightly negative. As Mark mentioned earlier, our group Pace is flat for the remainder of the year. And so the third quarter is negative as of right now. And then there's some slower pickup in our lower chain scales, and that impacts our upscale business in the U.S. as well as our distribution business. So that is sort of the headwinds in the third quarter, just to give a little bit more color. And then on the fourth quarter pickup, yes, there are easier comps because of onetime events in the fourth quarter, including some of the holiday shifts and the presidential election in November. So easier comps there in the fourth quarter. We're seeing some better pickup on the BT side that we expect to realize post Labor Day into the fourth quarter. That's still a shorter-term business. But as we talk to our top corporate customers, they are confident in getting back on the road post Labor Day. So that is what we're hearing and what we're seeing in the numbers recently. The group Pace numbers, I mentioned that while we're flat for the full -- for the entirety of the second half of the year, the fourth quarter is positive. So that gives us confidence. Obviously, we have more visibility to group Pace. So that's a positive in the fourth quarter. So there's quite a few reasons for the difference in the growth rates that we expect in the third quarter and the fourth quarter. And we feel really good about our expectations based on what we're -- the bookings that we're seeing and those estimates that we provided for the remainder of the year.
Mark Samuel Hoplamazian: I would just add that if you pick your head up from this year into next year, the group Pace into next year is extremely strong with a lot of it represented by rate increases. So while I think Joan explained the profile of the remainder of the year with great detail, I think maybe the more important message is that we see an improving picture heading into 2026 in addition to all the things that Joan just mentioned.
Conor T. Cunningham: Yes, the exit rate is certainly encouraging. But maybe I can ask another one. Just on the co-branded credit card negotiations, I mean, I'm just trying to understand a little bit better on the time line and what you guys are trying to accomplish. From an outsiders perspective, you obviously have a ton of growth in luxury. Your loyalty members are up over 400%. It just seems like you're in a pretty good negotiating position. So just any -- if you could level set us there, that would be great.
Joan Bottarini: Conor, we will update you as soon as we have something to update. As we've mentioned, we do feel good about what we'll be able to accomplish, but we'll provide more specifics on our expected economics as soon as we're able to do that. And I would expect maybe we'll be in a position later this year, early next year.
Operator: We'll move next to Stephen Grambling at Morgan Stanley.
Stephen White Grambling: Morgan Stanley, Research Division Just know you've done a lot with getting the Playa real estate sale done here or on the path to being completed by the end of the year. But as we think about other hotel dispositions, maybe remind us of where you stand and how you think about capital allocation from any proceeds that could come out from that?
Mark Samuel Hoplamazian: Sure, Stephen. Thanks for the question. The proceeds -- Joan mentioned this, but the proceeds from the sale of the Playa real estate will go entirely to pay down debt that's outstanding associated with that. It is -- it does actually satisfy the goal that we set for real estate dispositions at $2 billion. Having said that, you heard that we've got a lot of activity in other assets, and we will continue to stay focused on further dispositions. And that will certainly allow us to have more flexibility with respect to return of capital to shareholders. And we expect that picture that is the return of capital to shareholders to continue to improve as every quarter that goes by, we become increasingly fee-based in our earnings mix and the conversion to free cash flow is going up. And it's also true that we have a fortress balance sheet as it is post the paydown of the debt that we took on for the Playa acquisition. So I think that's what you can expect to see over the next 18 months.
Stephen White Grambling: Morgan Stanley, Research Division And one very quick follow-up. You talked about the improving free cash flow conversion. Maybe I missed this in your opening remarks, but how is The Big Beautiful Bill potentially going to impact your cash, taxes and how you think about cash conversion over the next couple of years?
Mark Samuel Hoplamazian: It will have some impact. We have the benefit like everybody else does, of accelerated depreciation. And while the form of the capital that we're spending is much less about bricks and mortar and investments in hotels and more about technology, that -- those are all qualified for accelerated depreciation as well. So I think we will realize some benefits with respect to our cash taxes as a result of that. Beyond that, I'm not sure that there's much to talk about.
Joan Bottarini: No, just to reinforce the fact that free cash flow as we sell real estate and continue to sell real estate and get to our 90% expectation for asset-light earnings that will have greater and greater levels of free cash flow conversion over time.
Operator: We'll move to our next question from Shaun Kelley at Bank of America.
Shaun Clisby Kelley: Mark or Joan, maybe one place to start would be just kind of -- can you help us with the building blocks for next year overall? I think for the most part, the investment community gets them, but there is a lot moving around. So if we think about kind of part 1 being the clean Playa fees once the real estate is divested, part 2 being the credit card deal, part 3 being some amount of organic net unit growth and then part 4 being trying to think about owned and leased pieces that are kind of net or maybe we need to annualize. Can you just help put some parameters around sort of each of those areas just as people are starting to kind of look out a little further and want a clean look at what Hyatt really can do on the earnings power side next year? That would be great.
Mark Samuel Hoplamazian: I think we'll split this up. Joan, you can take the first 2, and I'll jump in after that.
Joan Bottarini: Okay. Shaun, I'll take the first 2. So Mark had mentioned the expectations that actually we published when we announced the deal, the Playa acquisition deal that ultimately, the contracts that we're entering into the 50-year contracts with the Tortuga buyer reflects about $60 million to $65 million of fees on an incremental basis. So when you look at that on a full year basis, what we were realizing pre-acquisition was about $15 million to $20 million of franchise fees. So that is the increment for 2026 relative to Playa. And with respect to -- that's on the fee side. And with respect to the credit card, I'll just reiterate what I just responded to, which is that we will provide you insight into economics as soon as we're able to do that, as soon as we have a deal to share. So later when we provide guidance for 2026 more officially, we'll be sure to give you some insight into that.
Mark Samuel Hoplamazian: And then on the other 2 points, first, the asset sale impacts, we've laid out on Page 15 of the investor information deck that was released this morning, the quarter-by-quarter adjustments for 2024, and we will continue to report these adjustments out on a quarterly basis to facilitate everyone's ability to understand what the impact is on a year-over-year basis. I think the baseline as we head into next year is established -- the foundation is established with really strong group Pace and a continuing positive outlook for leisure travel, especially in the luxury leisure segment. I know that overall leisure numbers have been weaker, but that's primarily driven, if not entirely driven or maybe more than 100% driven by lower chain scales. So that's not where we live. And if you include Europe in the outlook with respect to leisure, it's actually even better. So we were -- U.S. resorts were up mid-single digits year-to-date. If you include -- and all-inclusive resorts in the Americas were up almost 7%. If you include Europe, it's up 8%. So that's year-to-date, but the outlook continues to be very strong Pace into the remainder of the year. For our HIC, Hyatt Inclusive Collection hotels is strong as is the Pace outlook for the Playa hotels that we now own. So I think the most important thing in terms of the outlook heading into 2026 relates to those dynamics where we've got big chunks of our business that all have positive signs. And I don't remember what your fourth. NRG, of course. How could I forget? We are on Pace this year to a great outcome, in my opinion, with the 70 basis points that we added to the outlook is -- has to do with the Playa transaction. But our feeling and our sentiment, especially given the increased signings Pace in the second quarter and some of the dynamics that we're seeing in some of the traction that we are starting to see really grab hold in the upper mid-scale for us. And our focus on that area is, in my opinion, going to continue to be the tailwind. And so I think we'll have wind in our sails with respect to NRG heading into next year and the year after that. And I'm increasingly confident that we'll be able to maintain those levels of growth as we look forward.
Joan Bottarini: Yes. And I would just add for your modeling purposes, Shaun, the confidence that Mark just described about the business and our growth, this all leads to our confidence in the fee algo holding up. So I think that helps with respect to what you're looking for, for modeling into next year.
Mark Samuel Hoplamazian: Yes.
Shaun Clisby Kelley: I know that was a long one. Just a clarification, Joan, and I won't go any deeper. But just for the incremental fees from Playa in terms of the numbers that you gave, I think that you had originally laid out $55 million to $60 million. Just to be clear, that's the incremental fees. In addition, you keep the fees that you already have, right? So -- but that will be the incremental bump for '26 over 2025.
Mark Samuel Hoplamazian: Yes. The incremental -- that number is the incremental. First of all, it was $60 million to $65 million...
Joan Bottarini: Fees -- topline fees.
Mark Samuel Hoplamazian: Top line fees, that's net of the franchise fees that we would have received from Playa.
Joan Bottarini: Right, which is why I provided those because when you actually look at the second half of this year, when you consolidate Playa, you're going to see a -- which is you'll see that on Page 3 of the earnings release that on a consolidated basis, for the second half of the year, we don't earn any fees because we own the real estate.
Mark Samuel Hoplamazian: We own the real estate.
Joan Bottarini: So that is why I provided the $15 million to $20 million, which was the pre-acquisition fees -- franchise fees that we collected from Playa. The $50 million to $55 million that you're referencing, Shaun, that was an EBITDA number that we provided.
Mark Samuel Hoplamazian: Yes. So yes, just to be clear, the $60 million to $65 million is the gross fees. That number is net of $17 million that we would have otherwise received and the $50 million to $55 million is the EBITDA that's implied from those -- from the $60 million to $65 million of fees. Is that clear?
Operator: We'll move next to Michael Bellisario at Baird.
Michael Joseph Bellisario: Mark, 2-parter for you on the recent brand acquisition. I guess first on Standard and Bahia Principe, where are we in the process of integration of the various milestones that you guys worked through? What isn't bookable on Hyatt channels? How has loyalty contribution trended so far? And then that $11 million of fees that you referenced in the press release, how was that relative to your expectations? And then secondarily, for Playa, what's sort of the integration time line there for the converted hotels and then also your expected step-up in the associated distribution earnings over time?
Mark Samuel Hoplamazian: Thanks, Michael. With respect to Standard, we are live across the portfolio. There may be one hotel in their portfolio that's not live on World of Hyatt yet. I'm not sure. The Manor, I think, was the last hotel to convert or to be brought live. So as I sit here, I just don't remember, but it's a single hotel. The early results are quite remarkable. Amar Lalvani, who runs our lifestyle team ran development and was a key leader for W -- when W Hotels were launched when he worked at Starwood. And so he understands exactly how a premier world-class sort of loyalty program with the right customer base can actually interface with a lifestyle group where you don't end up with sort of cognitive dissonance when you walk into our hotels. And so there's a profile of customer that is going to be attracted to Standard, but the early results are really better than we expected in terms of contribution. The Standard Hotels are performing extremely well. That strength is maintained through our acquisition of the company. So everything that we are looking at is displacement of more expensive channels. So the owners of those hotels will benefit a lot from World of Hyatt members now staying in their hotels, and we expect that to grow further over time. So we will buttress and strengthen the overall earnings profile for those hotels and reduce distribution costs all at the same time. So we're really very favorable about that on that. As to the corporate integration work, that will continue to unfold during the remainder of the year. Amar and his team have done a complete inventory of all of our lifestyle hotels and also identified a lot of runway. So they're sort of tag teaming their time through getting the integration work done and growing all of our brands. And we've already seen some really significant activity in our lifestyle brands, including branded resi, which has been super encouraging. With respect to Bahia Principe, likewise, that is fully managed out of the JV that we have a 50% interest in. And that integration work continues I think we did fast track World of Hyatt integration into those hotels. I don't know whether that's taken hold quite yet. If it has, it's been only literally in the last few days. So we have yet to really see significant impact with respect to our customer base into those hotels. Having said that, the business is performing quite well, at least as well as our underwriting and pro forma expectations. And the third one -- the third area that you asked about was? Or is it just Bahia Principe and Standard?
Michael Joseph Bellisario: Well, the third is just on the Playa Hotels that you're going to convert just...
Mark Samuel Hoplamazian: Yes. Sorry. Thank you. Yes, there is disruption with respect to the rebranding. All of that will -- we will be fully ramped by the end of the year. So that's underway, and we are turning on the channels that we have unique capabilities in, including ALG Vacations. And so yes, there is disruption there. Anytime you change brand groups, you're going to end up with disruption, but all of that will be fully behind us come January of '26.
Operator: We'll move next to Smedes Rose at Citi.
Smedes Rose: I did have one more question around your Playa acquisition. I think as part of that, you kept a $200 million preferred interest in the assets. And just going forward, I assume that the -- I don't know if you can give any kind of scope on kind of the interest you expect to receive there. And I assume that's not included in the fees that you've lined out going forward? Or again, just sort of thinking about building blocks for next year, will that be a significant sort of economic interest for you?
Mark Samuel Hoplamazian: Yes. So quick summary. The returns associated with that preferred are not fees period. So they don't show up in the fee line. That's not -- we're not conflating anything or recharacterizing anything, just to be super clear about that. Second, the way that, that piece of paper is structured, it will encourage the buyer to refinance and repay that over time. So I'm not going to go into the specifics about at what rate the paper is issued at, at this point. But structurally, it has features in it that over time will step up. So we expect that a refinancing will be available. One of the reasons we were so confident about the sale of this real estate, first of all, we know the market extraordinarily well. We're the largest player in this asset class as manager. And secondly, the yield profile for these assets is quite high, and it's quite high relative to anything that you might find in the United States, for example. And I think that over time, people will come to understand and the institutional community, as evidenced by our sale, by the way, will not only understand but take advantage of that. And that is what allows you tremendous financial flexibility. So yes, the buyers will earn a very attractive yield, and that's in part because that's what the market is. It is also true that the free cash flow that results from that gives them tremendous financial flexibility. So they're set up for, I think, a very good rate of return, and we're set up for getting our capital back.
Joan Bottarini: That's right.
Mark Samuel Hoplamazian: And 50-year management agreements for the hotels that are staying in our system.
Joan Bottarini: Right. And before we move to the next question, I just wanted to clarify, Adam just clarify the point I made earlier, and this is in reference to Shaun's question. Our EBITDA expectations for 2026 for Playa are $55 million to $60 million, and that has not changed since what we previously published. So I just wanted to make sure that, that was clear.
Mark Samuel Hoplamazian: Yes. Sorry, that was $5 million lower than what I said. So that was my mess up. Sorry about that, Joan.
Joan Bottarini: No. We haven't changed our expectations.
Smedes Rose: Can I just switch over for a moment to -- I know Hyatt Studio has been a big focus of kind of your rollout, and I assume it's an important part of your net rooms growth expectations. Any kind of change or updates you can provide there in terms of how that rollout is going?
Mark Samuel Hoplamazian: Not really -- it's more of what we described last quarter. We have more hotels under construction. We have a lot more in the funnel. And so we are very focused on converting into signed contracts and then into construction. But the early results in Mobile are very, very strong. So we feel good about that. And I would point you to Pages 6 and 7 of the investor information pack that we -- deck rather that we published this morning. Really, what that demonstrates pretty starkly is just how big the opportunity is for us. The whole strategy has been based around building and strengthening the halo that Hyatt has enjoyed for many years as a premier player and as a high-quality player and as a high-rated player. So we've established the top end in a proportion that is vastly in excess in terms of our system that is to our competitors. And now as we lean into all of these markets in which we have no representation, we believe that we're going to find tremendous take rate because the network effect for us is inviting a lot of people to start staying with us and existing members to stay with us since we'll have something in those markets. They already -- we already have in place the resort portfolio and the luxury portfolio that provides the aspiration for all of our World of Hyatt members. That's partly what's driving a 27% compounded growth rate from 2017. And cumulatively, we're growing at 20% every quarter that goes by, almost 60 million members, which is more than twice the number of members that SPG had when Marriott purchased Starwood. So we are really seeing tremendous traction in both World of Hyatt and the interest in our brands in these wide open markets. But I would definitely take a look at Pages 6 and 7, that will give you a very clear picture about where we stand and why we're so confident about our growth rate going forward.
Operator: We'll go next to Ben Chaiken at Mizuho.
Benjamin Nicolas Chaiken: You have 3 additional assets you referred to in the prepared remarks. I think you said -- I believe you said 1 hotel under -- 1 hotel signed and 2 under LOI. If you dispose of more this year, would that increase your shareholder return expectations? And then I don't know if you want to touch this or not, but is there any way to size that opportunity for those 3 hotels? And then one follow-up.
Mark Samuel Hoplamazian: Yes. Our practice is to provide specifics once we close transactions. So we'll wait to do that. But the answer to your question is, first, -- you've heard us repeat, I don't know how many times that we're committed to an investment-grade profile. We are well on our way to doing that with the paydown of the debt once we close the Playa real estate transaction. So those transactions, assuming that they close this year, could open up additional opportunities for us. And as we look into next year, as I mentioned earlier, we do have an expectation that we will be able to lean more heavily into shareholder returns for all the reasons that we discussed earlier.
Benjamin Nicolas Chaiken: Got it. And then just one quick follow-up. Just what are you seeing in China either by chain scale or customer segmentation? Any color would be helpful.
Mark Samuel Hoplamazian: Yes. The word of the day in China is caution and conservatism. The impact of the current policies that are in place plus concern over the potential impact from continued friction over tariffs has led to, I would say, a tremendous level of caution, more significant than we experienced in the U.S. It's depending on what quarter you look at, we've seen sustained demand in business transient and then more recently, leisure. But in fact, what's happening is that a lot of the higher-end customers in China are actually spending more as they travel outside of China, but outside of China is not spending in China because inbound traffic remains very low. So right now, I would say the name of the game is caution and conservatism. And I think that the -- there's an increasing expectation that there will be some policy shifts. Beijing is very -- historically, the government is very responsive and sensitive to customer sentiment. So there's a growing expectation that there will be some policy shifts and possibly some more clarity around the tariff picture. So I would say that we don't have a tremendous level of a crystal ball because everything has shortened up in terms of bookings. But we don't see really any significant holes as we look forward nor is there a way for us to predict that we're going to see a massive recovery in this year. And by way of reminder, total fees that we earn out of China are roughly 7% of our total fee base.
Operator: We'll go next to Patrick Scholes at Truist Securities.
Charles Patrick Scholes: Now that the Playa transaction is closed, and it seems like it is going well and as intended, would it be completely unrealistic to think there could be a similar opportunity with the public hotel REITs, which seem to be trading below NAV, the opportunity for you to be -- to flip the real estate and then enter into similar long-term management contracts. Again, would that be completely unrealistic to think that might be something you'd be interested in?
Mark Samuel Hoplamazian: Patrick, thanks for that. I'm 100% sure I can't comment on your question.
Charles Patrick Scholes: I know it's a little less...
Mark Samuel Hoplamazian: I don't know really -- what the realm of possible explanations is or responses is. Look, I can tell you that we are really focused on our organic growth and also focused on the things that are really in our wheelhouse. So I really -- I'm not sure that I have much to say beyond that.
Charles Patrick Scholes: Okay. It was just some investor chatter there that I wanted to ask about the question. A more standard question here for Joan. I didn't hear you mention about -- unless I missed it, expectations on the Caribbean for the rest of the year. I wonder if you could talk about that.
Joan Bottarini: Yes. We're very encouraged with what we're seeing on the booking side in the Caribbean. We have -- I think Mark mentioned in his prepared remarks that our Pace going into the third quarter is in the 5% range. And the Playa portfolio is also performing really well. I think it's in that same mid-single-digit range.
Mark Samuel Hoplamazian: Maybe a little lower because of the brand conversion.
Joan Bottarini: Yes. The brand conversions maybe is having a little bit of an impact, but very strong bookings. So we're very encouraged by the level of activity we're seeing going into that market.
Operator: We'll move next to Richard Clarke at Bernstein.
Richard J. Clarke: Just some questions, I guess, on the last division you not talked about, which is the distribution. Revenues down year-on-year, maybe despite an expected Easter boost. And just the mechanics, you said you think you can make some more money in distribution post the acquisition of Playa. How does that work? Is it more volume or better returns? And just to clarify that any of that in your guidance for this year, some boost to distribution from the Playa side?
Joan Bottarini: Yes. You heard right, Richard, that absolutely, there's an opportunity to better utilize that distribution channel from the Playa hotels. They -- from a competitive perspective, they did not utilize that in their revenue management distribution strategy in those hotels. So now the combination provides a great opportunity for us to fill in into inventory in those properties, leveraging the expertise and the abilities of ALGV to find good spacing and booking windows to optimize for those hotels. So that will be recognized for us into 2026. We're still ramping into that shift in strategy. And so that would be included in the EBITDA numbers that I just reiterated from our expectations for next year for Playa. And the $55 million to $60 million for 2026 would include some distribution earnings as a result of that strategy.
Richard J. Clarke: And the decline this year year-on-year in the quarter despite what we might think could be an Easter boost to that business?
Joan Bottarini: Yes. We had mentioned at the first quarter earnings call that we expect to be flat based on what we're seeing, which is the continued momentum of lower chain scales in those markets, actually realizing some bookings that are a bit softer, that's going to impact distribution in the third quarter. And we still anticipate being flat to slightly down, maybe between 0% to 5% down in the distribution business for the full year. And that's because of the structural lower chain scale performance that we're seeing in that business.
Operator: We'll move next to Duane Pfennigwerth at Evercore ISI.
Duane Thomas Pfennigwerth: Just a couple of quick ones. One on SG&A. As you -- your comment about an inflection point kind of caught our attention. Is the story more about scaling your current SG&A with top line growth? Or is there an efficiency opportunity? And for my follow-up, can you just remind us what the remaining asset sale target is after Playa? Is there any way to think about that on an annual basis?
Joan Bottarini: So Duane, the way I would answer your SG&A question is when we had set forth our guidance for this year, that guidance actually is a decline on a, call it, a year-over-year comparable basis, 2024 to 2025. So we've been very disciplined around SG&A. And so the growth rate has declined on the core business. The increase -- the slight increase that you see in the guidance relative year-over-year is due -- is entirely due to acquisitions. So that's how we're managing G&A. We have a little bit of timing. You'll notice that the first half is a bit smaller as a proportion to the full year estimates. That's just a little bit of timing in the second half. Timing of cost.
Duane Thomas Pfennigwerth: And then just on the remaining asset sale target after Playa, is there any way to think about that on an annual basis as we think kind of longer term?
Mark Samuel Hoplamazian: No. Our practice has been to optimize results that is sale results and be really diligent about and thoughtful about who we're selling to. We've executed this way since 2017 at multiples far in excess of anything that's been attributed to our real estate portfolio. We have every expectation of doing that because we have clarity around what our assets are worth. So we will be disciplined in that, but we will stay leaning forward into executing. So you can expect to see a steady stream of dispositions over time. But I dare not try to guess at what the volumes of that might look like because that's beyond my pay grade.
Duane Thomas Pfennigwerth: And can you just remind us, is there a total amount remaining that you're targeting?
Mark Samuel Hoplamazian: No. We -- frankly, on the one hand, I would say everything is for sale. So there's no -- there are no sacred cows. On the other hand, I've said in the past, and I'll just reiterate now, I don't think that we will ever get to 0. That's an unrealistic expectation and not evidenced anywhere in the industry. I just want to say thank you to all of you for your time this morning. We appreciate your interest in Hyatt, and we certainly hope to see you all showing your lovely faces in our hotels so that we can even do better and report better results next quarter. So enjoy the rest of your day. Thank you.
Operator: And this concludes today's conference call. Thank you for participating, and have a wonderful day. You may all disconnect.